Operator: Good morning, ladies and gentlemen, and welcome to the Canadian Natural Resources Third Quarter 2014 Conference Call. After the presentation we’ll conduct a question-and-answer session. Instructions will be given at that time. Please note that this call is being recorded today, Thursday, November 6, 2014, at 9:00 a.m. Mountain Time. I would now like to turn the meeting over to your host for today's call, Doug Proll, Executive Vice President of Canadian Natural Resources. Please go ahead, Mr. Proll.
Douglas A. Proll: Good morning and thank you, for joining our third quarter 2014 conference call. Today, we will briefly review our third quarter financial and operating results and present our 2015 budget. We will also provide an update on certain projects, including the integration of the significant asset acquisitions undertaken in the first half of this year. With me this morning are Steve Laut, our President; and Corey Bieber, our Chief Financial Officer. We will be referencing slides in the call today that are found as part of the webcast and as part of the PDF on our website. Before we begin, I would like to refer you to the comments regarding forward-looking information contained in our press release, and also note that all dollar amounts are in Canadian dollars, and production and reserves are expressed as before royalties unless otherwise stated. I would like to make a few brief comments before turning the call over to Steve and Corey. On behalf of Canadian Natural Resources, I would like to welcome Ms. Annette Verschuren to the Board of Directors. Ms. Verschuren brings an extensive business background and a level of experience that will greatly benefit the management committee and Board as we continue to profitably transition the Company into a long reserve life, low decline, and low capital intensive business, creating value for our shareholders. Canadian Natural had a very strong third quarter. We have a proven, effective, value driven strategy. We delivered cash flow from operations of CAD2.44 billion or CAD2.23 per share in the quarter and continued to execute on our capital programs. We focus on safe, effective, efficient and environmentally responsible operations resulting in reliable operating performance across our diverse asset base and strong cost control management. Of interest, Research Infosource announced this past Monday; Canada's top 100 Corporate R&D Spenders for 2013. Of note, Canadian Natural was the number eight overall spenders in Canada and ranked first in the energy industry. This reflects our commitment to technology development and proactive environmentally responsible operations. We have a strong, balanced, diverse portfolio of assets with significant exposure to light and heavy crude oil and we have significant natural gas upside. We continue the transformation to long life, low decline assets increasing sustainable free cash flow to create value for our shareholders, and we maintain a strong financial position to weather commodity price cycles in order to deliver the plan. The agenda for today's conference call can be found on Slide 4. I will now turn you over to Corey for his synopsis of the third-quarter highlights and a review of our financial strength. Steve will then discuss what sets Canadian Natural apart, an overview of our 2015 budget, as well as a quick asset overview Corey?
Corey B. Bieber: Thank you, Doug and good morning everyone. If you would turn to Slide 5 of the associated slide deck, I'll make the following brief comments on the quarter and then allow Steve to spend more time, as Doug said, on our outlook and plans for 2015 and beyond. The third quarter was a strong operational and financial quarter for Canadian Natural. Our production averaged 797,000 BOEs per day representing a 13% or 94,000 BOED increase over the third quarter of 2013. This reflected both strong organic growth as well as the completion of accretive acquisitions. Natural gas production increased from Q3 2013 levels by 44% or 511 million cubic feet per day to 1,674 million cubic feet per day, reflecting both the successful integration of accretive acquisitions and a concentrated liquids-rich drilling program. North American light oil and NGL production increased 33% or 23,000 barrels per day, while Pelican Lake and primary heavy crudes grew by a combined 9,300 barrels per day. This represented a seventh and third sequential quarterly production increases and production records for those two products. Total thermal volumes were also higher than Q3 2013 due to Kirby South ramp up. The thermal business is set to deliver significant value to shareholders. Our mechanical issues at Kirby South have been remedied and with strong production ramps in the 40,000 barrel a day target production level has resumed. At Primrose, we received approval from the regulator to implement a low pressure steamflood in Primrose East area 1, which has commenced and production is ramping as expected. At Primrose south, we received approval for additional CFSs, cyclic steam stimulation, on four pads in September 2014, with production start targeted to ramp up in 2015. Horizon Oil Sands SCO volumes were lower than last year, reflecting the planned 25 day turnaround with facilitated tie-in of two additional coker drums. The coker tie-in was successfully completed a year earlier than originally planned adding approximately 12,000 barrels per day of additional production capacity. The strong October production level of 123,000 barrels per day of SCO production represented very good 94% planned utilization rate. Additionally during the quarter, we commenced the production of diesel for internal use. During the third quarter, about 875 barrels a day of SCO production was used internally, helping to drop operating costs in the plant. We target to increase its production rate about 1,500 barrels a day, further reducing operating costs. It's important to note that this internal consumption decrease is reported production volumes, and therefore shouldn't be considered when comparing reported Horizon production volumes between different period. During the quarter, overall Horizon Phase 2/3 at 250,000 barrels per a day of capacity progressed by about 8% or 42% at June 30, to 50% at September 30. Importantly, we remain on track and within cost estimates. The highly effective coker tie-in is strong and visible evidence of our Horizon project execution success. On the product pricing side, the third quarter represented lower than previous but still relatively strong commodity prices with WTI benchmark pricing at about CAD97 and AECO natural gas pricing at about CAD4. The combination of our very strong production levels and this robust pricing environment resulted in cash flow from operations of over CAD2.4 billion compared with capital expenditures of under CAD2.2 billion. Canadian Natural's nine-month cash flow of CAD7.2 billion or CAD6.61 per share represents a 27% increase over 2013 levels, while our nine-month net earnings of CAD2.7 billion or CAD2.50 per share represents a 47% increase over 2013 level. Again, the integration of acquired properties, exceptional reliability at Horizon, continued strong organic growth in our Pelican primary thermal oil properties drove this result. During the summer, we also furthered our understanding of our royalty revenue stream and focused on lease compliance, well commitments, offset drilling obligation, and compensatory royalties payable. To date, we've identified 97 offset obligation. Additionally, the development of leased acreage continues at a strong pace with over 168 wells having been rereleased on a royalty land since June 1st. Our estimate of royalty revenues attributable to the second quarter is approximately CAD44.7 million of which about CAD7.4 million represents Canadian Natural royalties paid to ourselves within our corporate group of companies. I would refer you to our press release to find a few more facts identified with respect to this revenue stream. We continue to review the best options to maximize shareholder value with respect to our fee title and royalty lands and target to finalize our strategy in late 2014 or early 2015. From a balance sheet perspective, we remain strong with debt-to-book capitalization ratio of 33% and a debt to EBITDA of 1.4 times, well within our targeted ranges. Liquidity at September 30 was CAD2.4 billion, and I believe that this, coupled with our strong balance sheet and cash flow generation capability, allows us to weather commodities' price volatility like we see today. Further, our capital expenditure program flexibility allows us to proactively respond to ever-changing market conditions. In summary, I believe that Canadian Natural is financially strong and has a well thought out plan for ongoing creation of shareholder value. This plan, complete with the optionality to protect in the down side and to proactively take advantage of opportunities when they arise. I'll now ask Steve to talk a little bit more about our plans for 2015 and beyond.
Steve W. Laut: Thanks, Corey and good morning everyone. As well as Corey and Doug have pointed out, the third quarter was another very strong quarter for Canadian Natural. I'll start out this morning on Slide 6, with Canadian Natural's advantages beginning with Slide 7. Canadian Natural has and will continue to build a premium value, defined growth independent. We're one of the few companies in our peer group that has the assets to deliver free cash flow on a sustainable basis, a direct result of the strength of our assets, robustness of our business model and strategies, and our ability to effectively execute these strategies. It all starts with Canadian Natural's diversified and well-balanced asset base that is delivering significant cash flow; an asset base that we're able to grow while utilizing just over half our cash flow generating significant free cash flow. Free cash flow is set to increase dramatically as a result of our effective and strategic capital allocation choices. Canadian Natural has essentially four free cash flow allocation choices. Firstly, the development of our large resource base. Secondly, we can and have returned free cash flow to shareholders that have grown significantly at a 44% CAGR since 2009. Thirdly, we can allocate some of the free cash flow to opportunistic acquisitions if they're available, add value, and strengthen our asset portfolio, as we've done in 2014. And finally we can allocate the free cash flow to strengthening the balance sheet, a balance sheet that is already very strong. This model is highly effective, starts with a balanced diversified asset base, and is driven by effective capital allocation, effective and efficient operations and strong management. Canadian Natural is in a very enviable position and has a clear advantage compared to many of our peers when it comes to unlocking the value and free cash flow from our long life, low decline resources. It all starts with the strength of our large, well balanced asset base, Slide 8 and over 4 billion BOEs, Canadian Natural has the largest proved reserve base amongst our Canadian and US peer group. On a proved and probable basis, Slide 9, Canadian Natural has 8 billion BOEs, the largest reserve base compared to our Canadian peers. Our reserve base is large but our long life, low decline resource base is even larger, Slide 10. Canadian Natural has a significant resource base we are developing in a disciplined, cost effective approach unlocking huge value and significantly increasing our sustainable free cash flow. We can add an additional 16 billion BOEs to our reserve base, most of which are long life, low decline assets at Horizon, Thermal and Pelican. With and additional 1.8 billion BOEs or 11 TCF of undeveloped gas to develop in the Deep Basin and Montney alone. We own, operate, and control all our resources, were more than triple reserve base of the company to over 24 billion BOEs. Although our reserve base has a capacity almost triple, our primary goal is value growth and to drive ever-increasing economies of scale to drag even greater profitability. Few, if any, of our peers have the assets, the balance sheet, the expertise, with a free cash flow to fund the cost effective development of our resource base; allowing Canadian Natural over time to more than triple our reserve base, not only grow our cash flow significantly but increase the sustainability of this free cash flow. Canadian Natural's resource base is unique and places us in an enviable position relative to our peer, Slide 11. Our resources are long life and low decline, and we're effectively transitioning our overall asset base to an ever-increasing proportion of long life, low decline assets, a transition that is nearing completion with Horizon targeted for completion in 2017. Canadian Natural's assets those are field operating free cash flow, Slide 12. At an CAD81 WTI and CAD345 AECO gas price, in 2015 North American E&P delivers CAD2 billion of field operating free cash flow. Pelican with an average production of roughly 54,000 barrels a day delivers an outstanding CAD580 million of field operating free cash flow. Thermal delivers CAD705 million. Our international operations have large programs in 2015 at Espoir and Baobab. As a result, we do not deliver field operating free cash flow in 2015. That being said we have over last five years delivered CAD6.1 billion of field operating free cash flow and expect to again deliver in the CAD300 million range in 2016. Horizon is in the last half of expansion phase and is set to deliver significant field operating free cash flow Slide 13. Horizon production has taken the first step in our ramp-up Q3 as core mentioned. And we will ramp-up again by 45,000 barrels a day in 2016 and the final 80,000 barrels a day in 2017. As a result we are close to completing the significant and sustainable ramp up of Horizon free cash flow to CAD4.5 billion to CAD5 billion a year at CAD81 WTI. And even at a CAD70 WTI delivers an impressive CAD3.5 billion to CAD4 billion every year with decades to come. Horizon has the biggest impact on our corporate free cash flow as production ramps up and capital spending drops off, Slide 14. Canadian Natural’s free cash flow is strong and growing rapidly. At CAD80 WTI and a CAD345 AECO, free cash flow grows to a sustainable CAD5 billion to CAD5.5 billion a year in 2018 and at CAD90 delivers a sustainable CAD6.5 to CAD7 billion a year. And if we’re in a long-term CAD70 WTI world delivers a CAD4 billion to CAD4.5 billion a year a free cash flow, reflecting the strengthen of our assets and the robustness of our strategy and builds this model. Assuming of course, a stable commodity price, economic and regulatory environment. Canadian Natural's ability to grow and sustain free cash flow while maintaining a strong balance sheet is one of the key factors that differentiates us from our peer group and is unrivaled, in my view. Our free cash flow priorities remain unchanged, Slide 15, we are fully developing our large resource base. Secondly we can and have returned free cash flow to shareholders that have grown significantly at a 44% CAGR since 2009. Thirdly we can allocate some of the free cash flow to opportunistic acquisitions if they're available, add value, and strengthen our asset portfolio, as we've done in 2014. And finally we can allocate a free cash flow to strengthening the balance sheet, a balance sheet that is already very strong. Over the past number of years, Canadian Natural has effectively balanced the allocation of free cash flow between all these choices. Returns to shareholders are important to Canadian Natural, Slide 16. As you can see, since Horizon Phase 1 came on stream, we’ve increased return to shareholders at a 44% CAGR, a substantial rate of growth. Looking at the 2015 budget, Slide 17, in the context of the strength of our Canadian Natural strategies, our assets, balance sheet, and our teams, we base the budget on an CAD81 WTI, 3.5 gas price, AECO gas price, 18% differential for heavy oil, and a CAD0.89. Beginning with the highlights Slide 18. In 2015, Canadian Natural delivered strong cash flow CAD9.4 billion at the midpoint. Canadian Natural’s assets are generated field operating, free cash flow. We're maintaining capital discipline with a capital program of CAD8.6 billion, CAD800 million less than cash flow. Delivering strong production growth a 11% year-over-year retaining significant capital flexibility, CAD2 billion of capital can be quickly curtailed if we choose. We are continuing to make significant progress on the transition to a long life, low decline asset base, while preserving our dividend and share buyback capacity and maintaining our strong balance sheet. Importantly, we are prepared for a low commodity price cycle. In more detail 2015 capital budget Slide 19, allocated CAD8.6 billion in capital spending, which is flat to down in all areas except offshore Africa, where we have committed to infield drilling programs at Espoir and Baobab and up slightly in gas with our larger asset base. Canadian Natural maintains significant capital flexibility, Slide 20. We can quickly curtail over CAD2 billion of capital spending if we choose. With the greatest flexibility provided by primary heavy oil, light oil, natural gas and the North Sea. In a volatile commodity price environment, capital flexibility is important. Canadian Natural's ability to be nimble and utilize our significant capital flexibility is one of our many strengths. Production growth in 2015, Slide 21, is strong. All areas in the Company are growing production with overall BOE growth of a 11% year-over-year. Oil growth is 9% and gas growth is 16%. This delivers a cash flow as a midpoint of CAD9.4 billion, Slide 22. And the strength of our assets only requires CAD4.9 billion to maintain and grow production in 2015. That’s CAD3.6 billion that's spent on projects and that progress our transition to a longer life, low decline asset base and do not deliver production in 2015. Dividends are stable and will be reviewed, as always, in Q1 2015 for further increase and are not dependent on market conditions. Share repurchases and acquisitions are dependent on market conditions. As a result, we utilize the balance sheet to a very minor extent, essentially to fund a small portion of the Horizon Phase 2/3 build-out. Canadian Natural’s balance sheet remains strong with a debt-to-book of 31% and a debt-to-EBITDA of 1.4 at the end of 2015. In summary, Slide 23, Canadian Natural delivers strong cash flow of CAD9.4 billion or CAD8.50 a share at the midpoint of guidance. Strong production growth 11% progresses our transition to a long life, low decline assets at significant capital flexibility, preserves our strong balance sheet and ensures we're prepared for the low commodity price cycle. Taking a look at our assets in more detail, Slide 24. Starting with natural gas, Slide 25. Canadian natural is a largest natural gas producer in Canada we have 22 million acres of land a strong and competitive land base in the Montney and Deep Basin. We operate with high working interest and have an owned infrastructure that allows us to operate effectively and efficiently. In 2015, Slide 26, we will drill 69 wells targeting liquid rich plays in Septimus and the Deep Basin. We will also allocate additional CAD135 million of capital, in part due to the increased size of the asset base, but in addition, the wells we are drilling this year are deeper, longer horizontal sections and have more fracs per well. We are also expanding our infrastructure in the Deep Basin to capture additional third-party revenues and volumes, which not only generates revenue but lowers overall operating costs with increased volumes. As you can see, our operating costs at midpoint are down somewhat from 2014, which is a reflection of our effective and efficient operations, especially considering the high cost operations we acquired in 2014. The integration of acquired assets have gone smoothly and we have achieved roughly CAD70 million of synergy savings in 2014. Canadian Natural's gas assets are strong and delivered CAD245 million of field operating free cash flow in 2015, excluding NGL revenues. Canadian Natural has an extensive light oil asset base in Canada, Slide 27. We have significant water flood operations which we continue to optimize as well as leverage horizontal multi-frac technology targeting new play developments. In 2015, capital spending will be down CAD190 million to CAD480 million as we drill 49 wells versus the 96 wells expected for 2014. Even with reduced spending, production grows 9% importantly field operating free cash flow in 2015 is CAD855 million. Turning to our international operations Slide 28, 2014 was an inflection year for Canadian Natural. With the Brownfield Allowances, we're able to reinitiate development drilling in the North Sea. As a result, production exit volumes increased by 30%. We also progressed exciting exploration in offshore Africa. Production will increase 46% in 2015 as we undertake additional development drilling in the North Sea and the infill programs in Espoir and Baobab in Cote d'Ivoire. With the volumes increasing over these mostly fixed cost facilities, operating costs are reduced and netbacks increase in 2015. With the large programs at Espoir and Baobab, we do not deliver field operating free cash flow in 2015. We have over the last five years delivered CAD6.1 billion of field operating free cash flow and expect to again deliver in the CAD300 million range in 2016. Our exploration program in Cote d'Ivoire, Slide 29, we will continue with the delineation well to discovery of hydrocarbons in Block 514 to be drilled in the first half of 2015. This well will target two locations, one at Whipstock and include a DFT costing roughly CAD60 million net to Canadian Natural. Potential structure sizes are in the 0.8 to 1.4 billion barrel range. We also continue the exploration work on Block 12 where we have a 60% interest and exploration wells potentially target for 2016. In South Africa, the exploration well offshore on Block 11B/12B has been suspended due to mechanical issues with specialized drilling equipment on the drilling rig. The drilling rig is safely at the well location and has since been immobilized by the operator, Total. The South African authorities have formally confirmed that the well drilled satisfies the work obligation with initial period of the Exploration Right. Together with the operator, we are reviewing the course of action to re-enter the well as soon as possible. Drilling operations are unlikely to resume in the area before 2016 Canadian Natural’s primary heavy oil assets are excellent, Slide 30. We are the largest primary heavy oil producer in Canada and have a large infrastructure with effective and efficient operations with 8,000 locations in inventory. As a result, we have very good capital efficiencies generating significant free cash flow. Primary heavy oil is some of our most flexible capital and it is the easiest to adjust capital without impacting capital efficiencies. It's also the area where we've seen the most cost pressure due to significant activity by industry and ourselves. In 2015, Slide 31, Canadian Natural has drilled 730 wells down about 13% from 2014, and delivering a nominal 1% production growth and delivering significant field operating, field cash flow of CAD900 million. At our world class Pelican Lake pool, Slide 32, our leading edge polymer flood is driving significant reserves and value growth. We have over 4 billion barrels of oil in place and expect to recover 550 million barrels under one polymer flood. Our plan in 2015 at Pelican, Slide 33, is to continue to optimize the polymer flood. We're seeing good production response from the polymer flood, and we'll see production increase by 7% in 2015. Capital is down somewhat to CAD240 million, Pelican Lake operating cost continue to decline with operating cost now in $8 barrel range, delivering excellent net backs and generating outside free operating free cash flow of CAD580 million from this long life, low decline asset. Pelican Lake is a great example of Canadian Natural ability to develop and implement new technology allowing Canadian Natural to not only produce oil from what is thought to be an unproducable reservoir, but to develop a leading edge polymer flood to increase recovery and drive increasingly effective and efficient operations. Of Canadian Natural’s thermal heavy oil plans, Slide 34, we have CAD97 billion barrel in place. And we expect to recover roughly a CAD11 billion from our vast thermal heavy oil resources. Canadian Natural’s is executing a disciplined stepwise plan, Slide 35, to unlock the huge value of this asset base, we are bringing on 40,000 to 60,000 barrels a day, every two to three years, taking production facility capacity to 522,000 barrels a day, or just over half million barrels a day all at a 100% working interest. In 2015, Slide 36, we will see a ramp up of Primrose East Area 1 steamflood to 15,000 to 17,000 barrels a day by end year. Ramp up production on a low pressure cycle steam on four pads in Primrose East Area 2. And the Primrose Orange sand development in Primrose South will also continue to ramp up in Q1 2015. At Kirby South the SAGD operations continue to ramp up with excellent reservoir performance. The repairs to the steam generators are essentially behind us, and we expect to ramp up to 40,000 barrels a day in Q1. Currently, we are producing 25,000 barrels a day. Kirby North, our next 40,000 barrel a day project, continues to progress on schedule and on cost with first steam targeted for Q4 2016. Today we’re at overall 32% complete and target 70% complete by year end 2015. Our plan for 2015 Slide 37 will grow production by 14% with a capital expenditure of CAD1.14 billion, CAD575 million of which is allocated to Kirby North. Thermal is a significant component of our long life, low decline asset base generating substantial field operating free cash flow of CAD715 million in 2015. Turning to Horizon, Slide 38. Our world class oil sands mining operation where we have 14.4 billion barrels in the ground with just under 6 billion barrels of oil to recover, which will likely grow closer to 8 billion barrels as we expand our pit limits and seize opportunities as drilling improves the orebody delineation. Our current capacity has us now – has now been increased to 122,000 to 127,000 barrel a day up from the 110,000 to 115,000 barrels a day depending on utilization of between 94% and 96%. We are on track with expansion to 250,000 barrels a day of light sweet, 34 API crude, with ability to expand to 500,000 barrels a day or half a million barrels a day with no decline for 40 years and virtually no reserve replacement cost. Horizon will generate significant free cash flow for decades to come. 2015 operation plan, Slide 39, has us taking a scheduled 35-day turnaround in Q3 of 2015 with production running in the 122,000 to 127,000 barrel a day range outside of the turnaround. We'll then average between 111,000 and 121,000 barrels a day in 2015. In 2015, we’re targeting operating cost outside of 2015 turnaround to be in a $34 barrel range down 7% from our Q2 2014 operating costs. Horizon reliability, Slide 40, has been very strong with utilization rates in 2014 in a 96% range outside of the outage taken at the tie-in at Phase 2B, exceeding the very strong utilization rates we achieved in 2013, which were best in the peer group. We anticipate strong utilization in 2015 as we continue to enhance performance and deliver ever increasing effective and efficient operations. As a result, we target being in the high end of the utilization range. Horizon expansion capital, Slide 41, is targeted at CAD2.45 billion as expansion can use on track with overall project completion target be at 70% by year end 2015. This sets the stage, Slide 42, for additional 45,000 barrels a day added for 2016 and 80,000 barrels a day in 2017. We are essentially three years away from full production capacity at Horizon. At full capacity, we will have significant redundancy and all equipment will be running at optimal performance metrics. As a result, the liability should be further improved. Horizon operating costs by 43 will also be improved from these factors but mostly driven by the fixed cost nature of the operating costs. As you see 2015 budget operating costs excluding the turnaround, line up with the projected operating costs in excluding the turnaround, line up with the projected operating costs in our long-term plan and are expected to reduce even more as we bring on the final expansions. In summary, Slide 44, Canadian Natural has a large well balanced asset, high quality, diverse asset base with a fast, long life, low decline resource base providing sustainable organic and profitable growth. Our strategy is robust and unlocks significant value and delivers increasing and sustainable free cash flow. Canadian Natural’s free cash flows, Slide 45, is strong and ramping up at a significant 35% CAGR to CAD5 billion to CAD6.5 billion in a CAD81 [ph] world and WTI world or CAD6.5 billion to CAD7.5 billion in a CAD90 world. And even in a CAD70 world, delivers CAD2 billion to CAD3 billion of sustainable free cash flow by 2018. This puts Canadian Natural in a very enviable position, allowing us to allocate free cash flow to our priorities, Slide 46, proceed with the development of our large resource base. Secondly, we can and have returned free cash flow to shareholders that have grown significantly at a 44% CAGR. Thirdly, we can allocate some of the free cash flow to opportunistic acquisitions. And finally, we allocate the free cash flow the strength of balance sheet; the balance sheet is already very strong. In summary, Slide 47, 2015 the budget delivered strong cash flow CAD9.4 billion at the midpoint. Canadian Natural assets are generating field operating free cash flow. We're maintaining capital discipline with a capital program of CAD8.6 billion, CAD800 million versus cash flow. Delivering strong production growth 10% year-over-year, retaining significant capital flexibility CAD2 billion of capital can be quickly quartiles if we choose. We're continuing the significant progress we are making on the transition to long life, low decline assets base, while preserving our dividend and share buyback capacity and maintaining our strong balance sheet. Importantly, we are prepared for a low commodity price cycle. Canadian Natural is an enviable position as I said before Slide 48. Our strong well balanced asset base delivers free cash flow and we are effectively allocate the transition the company into a longer life, low decline assets and will substantially increased our ability to deliver free cash flow on a sustainable basis; allowing us to effectively balance free cash flow allocation resource development, returns to shareholders, opportunistic acquisitions and the balance sheet. Our strategy works, the strong management team that are focused on our optimizing capital allocation and delivering effective and efficient operations. That concludes our formal comments and will be happy to answer any questions you may have. Thank you, operator.
Operator: (Operator Instructions) Your first question comes from Paul Sankey from Wolfe Resources. Your line is open.
Paul Sankey – Wolfe Research: Hi, good morning, everyone. I don't know how many times you said the word free cash flow during that presentation, but clearly it is a major theme for you. We've seen something of a delay, if you like, in the arrival of the free cash flow. One way of wondering about this for me is when we got beyond Horizon, would you be guiding us to thinking that you just structurally have a lower level of CapEx going forward that you won't sort of reload if you want and therefore we could start to think about trying to value the stock on a 2018 and onwards circled wall of free cash flow, or do you think that the possibility is for you to actually sort of reload? Thanks.
Corey B. Bieber: Thanks, Paul. That's a good question, one we get out quite often and you like free cash, obviously flow said it enough times because that is a theme. There is a delay in that the ramp up of free cash flow that’s really based on commodity prices. When we get to 2018 we will have a lower level capital that required because obviously Horizon is expanded and does not need capital to expand further. We'll also have by that time Kirby South ramping up now, Kirby North will be ramped up by then. So we have a significant component of our long life, low decline assets that are delivering free cash flow and not requiring additional capital. So as you look at that profile, you can see that our capital drops down into that sort of 7.5 range post 2017 or 2018. So the possibility of us going forward to do more projects, obviously that's an option. But at this point in time, we feel we're pretty well optimized with our asset base and the capital allocation and would not present the possibility of increasing capital. That being said, we do have options. Clearly, if we get a major discovery in South Africa, which would be a positive thing. We could allocate more capital there, but that would be for good reason. We also have 514 Block in Cote d'Ivoire that could be discovery, although we have 36% working interest that consume some capital expenditures post 2018. And clearly if decided we could do Phase 4/5 because we can't take Horizon to 500,000 barrels a day. At this point in time, we're not planning to do that. And we're doing very little work to get ready for that. I guess the other thing we could allocate capital to is additional gas drilling. We do have a significant gas asset base. However, we wouldn't do that until we've seen additional price increases or more stability in prices. And when that happened, obviously our cash flow would be even higher so it would be less impact on the free cash flow while we increase it. So that’s a long answer to your question. Hopefully I've answered it.
Paul Sankey – Wolfe Research: Yes. It's a good one. Just as a follow-up would be is there any potential for you to increase or lessen the pressure on free cash flow between now and 2018 by a more aggressive approach on reducing CapEx? And I'll leave it there. Thank you.
Corey B. Bieber: Yes, we always, as you know, we have CAD2 billion in capital flexibility in 2015. So we have the flexibility to reduce capital if we so choose.
Paul Sankey – Wolfe Research: Thanks, guys.
Operator: Your next question comes from Greg Pardy from RBC Capital Markets. Your line is open,
Greg Pardy – RBC Capital Markets: Thanks. Thanks, good morning. Steve, just with the Republican victory in the Senate now that stoked a lot of questions around Keystone XL. Would you mind reminding us just in terms of your capacity, I don't know rough tolls to the Gulf. Because I think you've got an advantaged toll structure. And then just curious on how you're thinking about heavy oil realizations and differentials into 2015.
Steve W. Laut: Thanks, Greg. Obviously, we are a supporter of Keystone Pipeline as we are a supporter of Energy East and TMX to the West Coast and Canada, Keystone to the East Coast. On Keystone we have 120,000 barrels a day of committed capacity. The toll is confidential, so won't talk about that. As far as heavy oil differentials, we think structurally there's big demand for heavy oil, as you know that the Gulf Coast is short of heavy oil to optimize their complex. That's why you're seeing differentials structuring lower with access to the Gulf Coast and without Keystone, that access has essentially been bridged by rail capacity up here in Canada to get to the Gulf Coast. So we see in 2015 very strong differentials as you see in our budget. We have an 18% WCS differential to WTI.
Greg Pardy – RBC Capital Markets: Okay, thanks for that. Secondly though, as we've seen in previous downturns, 98 or 99, I mean you became very, very acquisitive. I know you've mentioned you've got the CAD2 billion in terms of flex capital. What are the triggers then? I mean perhaps aside from just pricing potentially being lower than what you're forecasting, but I'm just wondering how those triggers will cause you to – or what the triggers might be over the course of 2015, essentially call it your first half program pretty much set and you'd take a look at readjusting capital as need be in the second half. I mean when it comes to acquisitions, is your sense that as you've seen in past cycles that the downdraft we're seeing will create opportunities?
Corey B. Bieber: Thanks, Greg, for that question. It's a good one. Our capital flexibility and we have flexibility that's very quick to turn, so we could actually adjust capital in the first quarter if we wanted to. The trigger there would really I think the only trigger we have would be commodity price, and we always look at commodity prices. That would be your trigger. Obviously we have a very strong balance sheet, but we want to preserve that going forward. As far as acquisitions go, I believe that our asset base is very strong. There's no gas in the asset base. So we don't actually need to do any acquisitions. We're in a prolonged commodity price trough here, clearly there probably will be opportunities, but we don’t have any need to take advantage of or to build our portfolio in any way. So it clearly you had to value and be significantly, have significant upside into it before we would do any acquisitions. So its really not on the plan for 2015?
Greg Pardy – RBC Capital Markets: Okay. Thanks a lot, Steve.
Operator: Your next question comes from Fai Lee from Odlum Brown. Your line is open.
Fai Lee – Odlum Brown: Hi. It's Fai Lee here. Just follow-up on Greg's question. In terms of the capital flexibility, would you – you mentioned that the only trigger would be commodity price decline but would you consider actually pulling back capital to buy back shares if you felt that offered a better return to shareholders?
Steve W. Laut: That's something we consider, we look at, everything has to compete for capital. And obviously, we have four priorities, resource development which we want to keep to make sure we've got the growth and make that transition. Returns to shareholders through dividends and buybacks. We want to make sure we can do that and maintain a strong balance sheet. So we would look at that, everything competes for capital.
Fai Lee – Odlum Brown: Okay. And just on the free cash flow profile going forward, there's a slight decline in 2020 from 2019. Is that due to natural decline? Or is there some other factor there?
Steve W. Laut: The other factor there is in 2020. Horizon starts to pay higher royalties.
Fai Lee – Odlum Brown: Okay.
Steve W. Laut: Because it gets payout.
Fai Lee – Odlum Brown: In terms of 2020, if we pull that forward three, four, five years, 2020 is sort of your representation of what it might – the free cash flow might look like beyond 2020?
Steve W. Laut: Well, beyond 2020, it gets fuzzier and fuzzier. But in our plan, I would say free cash flow would actually start to be at that level and then start to ramp up as we get more and more thermal production coming onstream.
Fai Lee – Odlum Brown: Okay. Great, thank you.
Operator: (Operator Instructions) Next question comes from John Herrlin from Societe Generale. Your line is open.
John Herrlin – Societe Generale: Yes, hi, Steve. Regarding acquisitions, you've always tended to do complementary type acquisitions domestically in Canada. Would you ever slum in the US and also maybe add more in your international position?
Steve W. Laut: Thanks, John. To do any acquisitions, I think it's far from slumming, the prices are pretty high. We don't see any need to expand our portfolio to another area, so we wouldn’t do the US and that's not in our plan or even on the horizon. As far as international, in maybe in some of the areas we would look to that if it was complementary to our assets, but again we don't see much out there so it's probably highly unlikely.
John Herrlin – Societe Generale: Sure. With respect to your deepwater activity in West Africa, should we assume second quarter for the Outeniqua well?
Steve W. Laut: Yes, it will be in the first half we drill so should get results sort of late second quarter, early third quarter.
John Herrlin – Societe Generale: Okay. Last one from me. On the cost side, kind of the E&C side, given the fact that you're still involved with upgrade projects at Horizon, et cetera, have inflation rates really come down given the moderation in industry activity? What are you seeing on the E&C side for you?
Steve W. Laut: On the E&C side, I would say the costs are fairly stable. We haven't really seen much inflation, although there are some cost pressures on selective type trades but not a lot of cost inflation, and I would think with commodity prices where they are we may be actually in a bit of a window here coming forward. And we may not see as much inflation as we might have been concerned about before.
John Herrlin – Societe Generale: Great. Thanks, Steve.
Operator: I have no further questions in queue. I now turn the call over to the speakers for closing remarks.
Douglas A. Proll: Thank you, operator, and thank you, ladies and gentlemen, for attending our conference call. As we navigate our way through another period of very volatile commodity prices, Canadian Natural has a very strong and diverse asset base, a complementary balance of production and a strong well-developed plan for the systematic development of this asset base. We concentrate on safe, efficient and reliable operations and a strong financial position supported by readily available liquid resources. And finally Canadian Natural retains significant capital expenditure program flexibility to proactively adapt to changing market conditions including volatile and uncertain commodity prices. If you have any further questions, please give us a call. Thank you, again, and we look forward to our 2014 year-end quarter conference call in early March.
Operator: Thank you, everyone. This concludes today's conference call. You may now disconnect.